Holly Schoenfeldt: Good morning, and thank you for joining us today for our webcast announcing U.S. Global Investors Results for First Quarter Year 2019. I'm Holly Schoenfeldt. If you have any questions during the webcast, you can enter them in the questions area of the control panel side bar, which is normally to the right of your screen. Also, you may download a PDF of today's slides by clicking on the red handout button. The presenters for today's program are Frank Holmes, U.S. Global Investors’ CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global accepts no obligation to update them in the future. On Slide 4, you'll see a quick overview of U.S. Global. We are an innovative investment manager with vast experience in global markets and specialized sectors founded as an investment club. The Company became a registered investment advisor in 1960 and have a long standing history of global investing and launching first of their kind investment product, including the first no-load gold fund. U.S. Global is well known for expertise in gold and precious metals, natural resources and emerging markets. And now on Slide 5, I'm going to pass it over to Frank Holmes, CEO and CIO for an overview of the period. Frank?
Frank Holmes: Thank you, Holly. Listen, I've just flown in red-eye from [indiscernible] speaking at a mining conference -- Institutional Mining Conference in Miami. So you hear the noise, I'm flying in again. So hopefully, that helps the Jets ETF. So the strengths -- the growth strengths are strive to go-to stock, exposure in emerging markets, resources gold and digital currencies. We're debt-free. We have a strong balance sheet with a reflective cost structure. And I'll talk about that as where we continue to streamline our team, cost structure later in the presentation, and the monthly dividend return on cap equity discipline. I want to thank all the top institutional holders of GROW, the Royce & Associates, Perritt Capital Management, FIM, Paul Sutherland and his team, BlackRock Institutional Trust Company and Toroso Investments. When we take a look at it, we've consistently paid dividends for past 10 years, with a modest yield. The boards approved the repurchase of up to $2.75 million of outstanding common stock. And for this past year, we've parked it very little bit, because we use a quant model that basically buys on down days. So it has the -- it's the volatility, whereas only when it's on very volatile down days, it automatically triggers a buy. And I'd like to hop on to Slide Number 9. You see the balance sheet remain strong with no debt. And Lisa can talk a little bit more about that. And earnings per share quarterly, we'll talk a bit more how we're being impacted by the volatility of long term investments, which was really the worst quarter I've ever seen where we've made two strategic investments. And we've been subject to different reasons but seen early investors in both those companies -- and so it had liquidity events, one had a liquidity crisis and they had to blow all those stock out and knocked it down and that impacted us. But the company continues to be a leader in AI machine learning and growing their revenue and the cash flow. And the other one is the saga of Genesis mining. The company has been able to just move away from Genesis mining in particular we now take control of the Swiss assets. And the fundamentals are doing quite well. But Genesis mining was a big seller of stock, we're actually didn't even disclose and then six weeks later they disclosed that they sold a lot of stock and they suppressed it. But that's just the way they function and my opinion, you know that behavior is unstable for capital markets, and we'll just push through, because the company's doing well with liquid assets. Now, I'd like to hop on the next Slide 11 and talk about the quarterly average assets under management. They're relatively stable. We're starting to get some good flows in our ETF GOAU, but still there's flows into the gold funds, but still really no growth whereas the industry as a whole, Holly is going to talk about is still going through a big contraction. And what's really important for all our shareholders just to recognize, we're very volatile, because underlying funds that we have, such as gold stocks, they have a greater volatility in the S&P 500, even though bullion is not so volatile on a rolling 12-month period, gold stocks are -- emerging markets are and Bitcoin and Ethereum are. So we're sort of subject to these emerging markets and commodity basis, and it shows up in our stock. So that's just important for investors to recognize. Some real positive development is GOAU ETF is listed on the LPL Financial and Stifel platforms, and as a national footprint across the platforms. Stifel has over 263 billion and 25,000 advisers and LPL has over 700 billion and 6,000 advisers. So we're doing more marketing. We had our biggest success last week with a [webcast], a record number of people listen to it regarding gold. Next visual is showing the growth in GOAU, assets under management year-over-year continue to grow, 38 million to get into that breakeven level, but assets pretty well surged close to 300%. And I just think -- I just shocked by the fact that it's so difficult marketing, the benefits and the whole process of telling that story that's a superior product. And that's just none of the gold funds or ETF are so far really caught up to its numbers in that quant approach. But then I take a look the next visual just remind you I showed you the Europe trading what happens, but short-term volatility for over 10 days. As you can see, Bitcoin, Ethereum, are just very, very volatile and that impacts high blockchain or major investment, which we have 10 million shares on. And next visual, I'm trying to highlight the investors, the major events moving the price of bitcoin, a lot recently this sentiment. Sentiments, sentiments, sentiment. Meaning Facebook going in front of the Senate and Congress and financial sectors, just automatically sells off and then once that meeting is over, it resurged -- bounces backup. So we're experiencing just a lot of sentiment driven. But to me most interesting on Slide Number 17 is that the number of cryptocurrency wallet users keep rising, so over $36 million crypto wallets accreted so far. And then on the next visual, because a year ago that I announced that I would go on as Interim CEO, and now I'm still -- now, actually be able to focus on looking for another CEO and I've done some interviews. Holly's latest update is on Slide Number 19. If you've not read them, I highly recommend that, it's been an incredible year. We were able to only have two employees. We have now attracted a great director of IPO, CEO that's expert which we've never had in our -- on our -- in the corporation, the Board in building data centers. So Dave Perrill is a big addition. We're liquid. We have lots of cash and it's just that stock does not reflect the great fundamentals that's taking place in this company. And looking ahead, we're big believer that AI machine learning, they're going to need these GPU chips that we have in Sweden. So we remain very bullish on the use of this. The next I'll just give you highlight what took place with this unfortunate proxy battle, where the Genesis mining has said that it was just too old but not too old to turnaround a company and get a position for growth and getting complete transparency. So you can see that the stock used to trade at a very high correlation to Ethereum through a period and bifurcated, and the biggest seller has been, in particular, in the month of July that was recorded in August they're selling their big sellers all through the month of July. But hopefully, soon though who's ever used been selling is out because the company's fundamentals remain robust and strong. The other major investment made is a macro force in technology we like to talk about is AI and the machine learning, and that's GoldSpot. I'd like to turn it over to Lisa.
Lisa Callicotte: Thank you, Frank. Good morning. Now I'll discuss the results of operations for the quarter ending September 30 2019. Beginning on Page 24, we recorded total operating revenue of $904,000 for the quarter, which is a decrease of $319,000 or 26% from the $1.2 million in the same quarter last year. This decrease is primarily due to decreases in assets under management related to shareholder redemption. Operating expenses for the current quarter were $1.7 million, a decrease of $187,000 or 10%, primarily due to the following reasons; employee compensation and benefits decreased $58,000 or 7%, mainly due to decreases in salary expense; and general and administrative expenses decreased $107,000 or 11%, primarily due to decreases in fund expenses. We see our operating loss for the quarter ending September 30, 2019 is $815,000. On Slide 25, we see that other income and loss for the quarter was a loss of $3 million, and was mainly related to unrealized losses on investment. And non-operating losses increased $2.1 million in the same quarter in the prior year. Net loss attributable to USGI after taxes for the quarter was $3.6 million, a loss of $0.24 per share, which is a decrease of $2.4 million compared to the net loss of $1.1 million or $0.08 per share for the same quarter in the prior fiscal year. Moving to Slide 26, we still have a strong balance sheet, it includes high levels of cash and unrestricted marketable securities that combined made up 67% of our total assets. And on Page 27, we see -- we still have no long term debt and our only long term liability is our lease obligations. The company had a net working capital of $10.7 million and a current ratio of 8.9:1. With that, I'll turn it over to Holly.
Holly Schoenfeldt: Thanks, Lisa. And before we jump into our sales and marketing efforts, I wanted to briefly go over some of the recent trends in the mutual funds and ETF industry, just to help us better understand where we are and where we're headed next. So on Slide 30, you can see the number of mutual funds entering and exiting the industry. And this chart comes from the 2019 ICI Fact Book. It shows that the total of 345 mutual funds opened in the year 2018. Fewer equity and taxable bond fund launches contributed to the decline in the number of new mutual funds offered from 2017 to 2018. Slide 31 shows net new cash flow going in the mutual funds, which does present a headwind for us. And you can see that overall demand for mutual funds, as measured by net new cash flow, weakened considerably in 2019 -- 2018, excuse me. On Slide 32, we'll shift our focus over to exchange traded funds. The U.S. ETF market was $3.4 trillion in total net assets at year-end 2018, remained the largest in the world with the vast majority of assets in U.S. ETFs. Also in funds registered with and regulated by the SEC under the Investment Company Act of 1940. Growth here remains essentially flat, although, still positive. And then on Slide 33, a majority of our mutual fund assets are in emerging markets and natural resources, while 32% are in domestic equities and fixed income. And as for distribution, more than three quarters of assets come from retail investors with 18% coming from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds, including those concentrated on gold, natural resources and emerging markets, as well as our ETFs. And helping in these efforts is Tadas Misiunas who joined the team in 2019, and head up institutional sales here at U.S. Global. The company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial outlets like Fox Business, Bloomberg Radio and Kitco News, just to name a few. And we continue to receive recommendations by influential financial newsletter writers as well, along with sharing syndication of our award winning original content by third-party publishers. The newsletters have a loyal following and received millions of visitors every month. Frank Holmes' CEO blog, Frank Talk, continues to grow in popularity as well. His commentary is often featured by prominent publications, including Forbes, Seeking Alpha, Kitco and equities.com, each with millions of monthly visitors. And Kitco News, the biggest gold website in the world with an audience of over 30 million monthly visitors, in partnership with The Street, continues to feature the Gold Game Film show with Frank Holmes gold market analysis. And actually since the show's beginning, 171 episodes have aired. At quarter end, we like to look at the most visited Frank Talk blog posts over the last year, no matter what year they were actually written in. So on this slide you will see that the most visited articles for the one year period remain the same; number one, the top 10 countries with the largest gold reserves; number two, top 10 gold producing countries; and then number three, what does it take to be in the top 1%. You can sign up for the blog for free on our homepage. And all of this coverage helped us leverage our brand by reaching millions of readers, viewers and potential investors. Our Web site, usfunds.com, was the visited 508,000 times from September 2018 through September 2019 by curious investors from all over the world. U.S. Global is well-known for timely, balanced and positive market insights and our thought leadership. The company has been awarded numerous star awards by the Investment Management Education Alliance over the years for excellence and investor education. And actually just last month, we were awarded three more, bringing the total to 88. Our subscriber base continues to grow organically, and we currently have over 50,000 curious investors subscribed to investment newsletters and the Frank Talk blog. We also continue to see a large following across all of our social media platforms. Investors can sign up at usfunds.com and join these subscribers to receive the award winning investor alert e-newsletter, as well as Frank talk. And now, I want to pass it over to Joseph Guyer, our Senior Financial Writer to briefly review some of the macro trends we're paying close attention to and which we often cover throughout the content on usafunds.com. Joseph?
Joseph Guyer: Thank you, Holly. So on Slide 44, we're looking at one of the two main drivers of gold prices, and that's the love trade, the other being the fear trade. And of those two, the most significant is the love trade. It accounts for about 16% of global demand every single year. This is something we've discussed quite a lot for loyal readers of Frank Talk and investor alert. We've seen a strong correlation between rising incomes in China and India over the years and higher gold prices. And that's because, in India specifically, there are days that are considered to be auspicious to buy gold and to give gold as gifts. Hindus around the world just celebrated Diwali and coming up in China is the Chinese New Year during which it's also customary to buy gold and give gifts of gold jewelry. It's important to point out though that India -- jewelry buying in India was down slightly in the third quarter according to the World Gold Council, because of higher gold prices, which had an impact on purchases in that country. Since 2010, we've seen central banks around the world become net buyers of gold from net sellers of gold. They're trying to diversify away from the U.S. dollar. And year-to-date actually through the end of the third quarter, purchases surpassed 500 tonne, that's more than any other equivalent period and also 12% up from last year. Again, that's according to the World Gold Council's recent report on the third quarter. The other side of the coin, so to speak, is the fear trade, which accounts for about 40% of global demand for gold. And this includes fear of interest rate or uncertainty of where interest rates are headed, that's a monetary side. And on the fiscal side, it could be fear of taxes, it could be currency devaluation. More recently we've seen a rise in the amount of negative yielding debt around the world. At the end of August, it actually hit $17 trillion it's come down since then to about $14 trillion. But that's the price of money right now, it's actually below zero and that has encouraged gold buying. Right now, we're engaged -- the U.S. is engaged in a trade war with China. We there is an talk that this could be coming to an end sooner rather than later, because the U.S. and China account for about 40% of global GDP, this has had its huge impact on all sorts of sectors and industries. We've seen the Purchasing Managers Index, or PMI, come down considerably due mainly to the trade war. And again, you can see here how the trade war has impacted GDP growth, and it's estimated to continue to impact GDP growth around the world. Many of you listening to this right now probably are aware that inflation is a strong contributor to gold prices heading up. It's very constructive for gold. And inflation has been muted recently, according to the government, according to the U.S. government, the Consumer Price Index, really hasn't moved that much. But if you really look at the price of consumer goods at places like Walmart and Target, the CPI is not picking up products and goods that people are really buying on a day-to-day basis. And this was a study done where they looked at 76 items at Walmart and Target year-over-year. And you can see that in June, prices were up more than 4%, 5% and that's surpassing what the government is telling you inflation. Speaking of all this, so here's Ray Dalio, who just said recently that the world has gone mad with so much free money. And this is an interesting chart. If you noticed the days, they're not going sequentially and that's because it's showing gold returns during the worst 15 months of the S&P 500 going back to 1971. So as you can see, the days with the bottom they don't start in 1971, we're looking at the very worst S&P drops on a monthly basis going back in 1971. And in every single one of those periods, gold outperformed the S&P, which tells you that the yellow metal is a good hedge against volatility and market decline such as these. Gold equities are cheap. It has room to keep running. Gold miners are suppressed. They have been suppressed, relatively speaking, when you compare it to the price of gold. But again, if you remember from one of the previous slides, gold miners are highly volatile, they had a fair deviation of nearly plus or minus 40% for the 12-month rolling period. And that is it.
Holly Schoenfeldt: Thank you, Joseph. And as we wrap up today's presentation, I just want to remind everyone, you can enter questions that you have in the control panel on your screen. Also, you can submit questions directly to us at any time by e-mailing info at usfunds.com. We will be following up with questions this round within the next few days. And with that being said, this concludes U.S. Global Investors' webcast for the first quarter of fiscal year 2020. This presentation will be available on our Web site at usfunds.com. Thank you all for your participation.
End of Q&A: